Operator: Ladies and gentlemen, thank you for standing by. Welcome to the FIS Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, today's call is being recorded. I would now like to turn the conference over to your host, Pete Gunnlaugsson. Please go ahead.
Pete Gunnlaugsson: Thank you, Greg. Good morning, everyone, and welcome to our third quarter 2015 earnings conference call. Turning to slide 2, Gary Norcross, President and Chief Executive Officer, will begin with a business summary. Woody Woodall, Chief Financial Officer, will continue with the financial results for the quarter. Today's news release and the supplemental slide presentation are available on our website at fisglobal.com. Turning to slide 3. Today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. Please refer to the Safe Harbor language. Today's remarks will also include references to non-GAAP financial measures in order to provide more meaningful comparisons between the periods presented. These non-GAAP measures are outlined on slide 3 as well. Reconciliations between the GAAP and non-GAAP results are provided in the attachments to the press release and in the Appendix of the supplemental slide presentation. With that, I will turn the call over to Gary to discuss the third quarter business highlights on slide 4. Gary?
Gary A. Norcross: Thanks, Pete. Good morning, everyone, and thank you for joining us on today's call. I'd like to start by giving you a strategic update on our business starting with our pending acquisition SunGard which is a significant achievement and long-term value-creator for FIS. We are excited about this acquisition because it grabs immediate client and shareholder value and it aligns with our long-term growth and performance goals. This combination allows us to address a wider array of client business needs with a broader set of expertise and intellectual property based offerings in an adjacent and complementary financial services market. The combined company will be positioned as the clear leader in retail and wholesale financial technology globally. We are also very excited about the shared opportunities it creates in our customer base having independently received very positive feedback from our clients about this combination and the benefits it will provide to their organizations. It will bring new talent and leadership which when combined with FIS drives us – value as a much larger company. Ultimately, this combination will drive extended demand through the following ways: by capitalizing on a much broader capability set for our existing clients. In many instances, the two companies combined will be considered a very large existing provider of the many global financial institutions. Second, by exposing FIS to a much broader market set such as asset managers and private equity firms which will allow us to sell many of FIS existing products to those new prospects over time. Currently, we have received all regulatory approvals and are targeting closing the week of November 30. The teams of both companies have been working together since the announcement on integration planning. These efforts are producing solid line of sight to our long-term synergy targets which we've previously shared. We are pleased with the results to date. We are confident that our proven track record of integrating acquired assets combined with our global delivery skill and financial strength will enable us to deliver on this value creation strategy. Turning now to the quarter results on slide 5. Consolidated revenue was $1.6 billion, an increase of 3% on a constant currency basis which is below our expectations. We continue to see macroeconomic demand softening in our large and global financial institution clients, primarily in our people-based services. Overall EBITDA was strong at $530 million, representing a 12% increase on a constant currency basis versus prior year. This earnings growth in a softer-than-expected-revenue quarter highlights the strength of our business model and sound execution on managing and reducing our cost structure. Our results continue to drive shareholder value, delivering adjusted earnings per share of $0.90, an increase of 15% on a constant currency basis. Our long-term client relationships together with our global scale and operating leverage continue to drive highly reoccurring revenue and consistent profitable growth. Our business model and execution generate strong free cash flow. In this quarter, we delivered $223 million of free cash flow and returned $73 million to shareholders through dividends. Our Integrated Financial Solutions segment continues to drive very strong reoccurring revenue, largely driven by our established community and regional bank business and continues to produce industry-leading margins. The long-term growth profile of this segment was enhanced this quarter by the addition of numerous new community banking clients who selected FIS as their new core banking provider. These core wins represent a 15% increase compared to the prior year period. Each of these wins also included digital banking and/or payment capabilities, underscoring our solid position within the bank market as a leading strategic partner for end-to-end banking and payment solutions. During the quarter, our Digital Solutions saw double-digit growth. Sales momentum has been strong year-to-date, but was partially offset by continued bank consolidation and price compression in this segment. The underlying fundamentals of the business are very strong. Turning next to our Global Financial Solutions business, we saw double-digit growth in Europe as our Clear2Pay solutions continue to perform, as well our sales teams delivered high-margin product sales in core banking and payment solutions. Deal closure in Asia Pacific was robust. Our Asia Pacific business continued its recent successes, driving double-digit growth. Our leadership team in the region has consistently delivered strong results over the last several years. Through that leadership, we continue to expand relationships with existing clients through the same cross-sell and up-sell model that we established in our U.S. domestic business. Deals within this region continue to be focused on our core banking and payment solutions. Latin America continues to experience an overall tough macroeconomic environment. Despite this, the underlying business drove low-double-digit constant currency growth. In North America, results were impacted by the large non-renewal of a non-strategic contract disclosed earlier this year, coupled with demand softness in our people-based Professional Services. Turning next to slide 6. Before I turn the call over to Woody for the financial summary, I'd like to reinforce that FIS is a company that delivers consistent long-term profit growth and a solid track record of performance. Our four-point strategy reviewed in this year's Investor Day material centers around driving shareholder value. First, we are expanding client relationships through cross-sell, up-sell actions evidenced by our double-digit product sales in digital and wealth solutions, and expanded client relationships through our new core wins. Second, we are expanding our solutions and client value propositions through our billed-by-partner model as evidenced by our strategic SunGard acquisition. Third, we are driving continued operating leverage and margin expansion through our highly reoccurring revenue model leveraging our scale and broad product scope. And fourth, our capital allocation discipline is allowing us to invest for growth, maintain a flexible but solid balance sheet and return capital to shareholders. We are confident that the strategic direction to drive growth in global markets is the right strategy for long-term earnings growth and shareholder value. With that, I'd like to turn it over to Woody for additional detail on the financial results of the quarter. Woody?
James W. Woodall: Thanks, Gary. I'll begin on slide 8 with a summary of our consolidated results for the quarter. In the third quarter, consolidated revenue was $1.6 billion increasing 3% on a constant currency basis. EBITDA was $530 million increasing 9% as reported and 12% on a constant currency basis. EBITDA margin expanded 320 basis points to 33.6% In the quarter, foreign currency translation negatively impacted revenue by $71 million and EBITDA by $15 million. Year-to-date, foreign currency negatively impacted revenue by $180 million, EBITDA by $33 million and earnings per share by $0.06. As Gary indicated, we are experiencing macroeconomic headwinds in our business. These headwinds impact our clients and affect the amount they spend with us for our people-based services. Therefore, we have proactively taken cost out of the business pulling additional variable cost levers where performance did not meet expectations. We will continue to monitor the global environment and adjust our cost structure accordingly. Non-GAAP adjusted net earnings from continuing operations were $255 million for the quarter and $652 million for the first nine months of 2015. Adjusted earnings per share were $0.90 for the third quarter, an increase of 12.5%, or 15% on a constant currency basis. We suspended share repurchase beginning in May based on our discussions with SunGard which resulted in a negative impact on EPS of $0.01 per share for the quarter. Non-GAAP results for the quarter are adjusted to exclude acquisition-related purchase price amortization of $0.12 per share, merger acquisition, integration and severance costs of $0.12 per share, and the tax impact from the divesture of our gaming assets of $0.03 per share. I will continue on slide 9 for the third quarter segment results. In the third quarter, Integrated Financial Solutions revenue was $971 million, which was up 1% compared with to the prior year. The underlying IF business fundamentals remain sound. Revenue grew 4% after normalizing for divestitures and the change with the loyalty vendor we previously discussed. EBITDA increased 6% to $408 million. EBITDA margins increased 200 basis points to 42% for the quarter and 40% for the first nine months of 2015. This margin expansion speaks to our ability to manage and adjust our variable cost structure in reaction to top line growth trends and performance. IFS margin also benefited from $20 million in term fees which was in line with our guidance earlier this year. Turning to slide 10. Our Payment Solutions revenue was $403 million, down 1% for the quarter. This was negatively impacted by the change with the loyalty vendor and a divestiture in the second quarter. Absent these changes, Payment Solutions grew 3% for the quarter. Business Solutions revenue was $280 million and grew 2% compared with the prior year. Business Solutions grew 9% for the quarter after eliminating the effect of the divestiture of our gaming business. For the first nine months of the year, Business Solution's revenue was $845 million, up 4% compared to prior year. Banking Solutions revenue was $287 million and grew 2% compared to the prior year. For the first nine months of the year, Banking Solution's revenue was $843 million, up 5% compared to the prior year. Turning to slide 11. In the third quarter, Global Financial Solutions revenue reported $609 million representing a 5% decline over the prior year. On a constant currency basis, GFS revenue grew 6% for the quarter and 7% for the first nine months of the year. Global Financial Solution's EBITDA was $157 million on a reported basis or $174 million, a 23% increase on a constant currency basis. EBITDA margins were 25.8%, compared to 22% in the prior-year period. This expansion is primarily driven by restructuring and re-segmentation cost actions disclosed earlier in the year, and also higher margin product sales in our international regions. Moving to slide 12. For the third quarter, North America produced revenues of $268 million compared to $289 million in the prior-year period. Europe grew 17% on a constant currency basis to $220 million driven primarily by growth in our Clear2Pay business. Without Clear2Pay Europe grew 5% in the quarter and 7% year-to-date on a constant currency basis. Latin America revenue grew 11% on a constant currency basis to $120 million for the quarter and reflects an easy comparison to the prior year. We anticipate growth in Latin America to continue to be muted over the coming quarters based primarily on the economic conditions in Brazil. Asia Pacific continued its strong performance at 27% on a constant currency basis. Corporate expenses were $35 million for the quarter driven by diligent cost management. The effective tax rate was 32.8% for the quarter, compared to 31.2% in the prior-year period. The prior-year period included a discrete tax benefit of approximately $9 million. As of September 30, our weighted average interest rate on our existing debt was 3%. Our debt-to-adjusted-EBITDA leverage was 2.6 times. Moving to slide 13. On October 13, we announced and completed the issuance of $4.5 billion in senior notes and have received commitments for $1.5 billion in new term loans. This was done in anticipation of closing the SunGard transaction in the fourth quarter. The remainder of the cash proceeds necessary to facilitate closing the transaction and retiring the existing SunGard debt will come in the form of borrowings under our existing revolver. We anticipate retiring the existing SunGard debt at or shortly following the transaction closing date. We continue to reinvest in the business. Adjusted cash flow from operations totaled $310 million in the third quarter of 2015. Capital expenditures in the quarter totaled $87 million resulting in free cash flow of $223 million for the quarter. For the year, we expect CapEx to be slightly higher than our goal of 6%. We still anticipate full year free cash flow to roughly approximate net earnings. We returned $73 million to shareholders through dividends. We suspended our share repurchase program due to the pending SunGard transaction. Post-closing, we'll be highly focused on paying down debt and delevering the balance sheet. Moving on to slide 14 for my concluding remarks. For the year, we expect our reported revenue growth to be flat as we continue to see significant negative foreign currency translation headwinds. Revenue growth in constant currency is expected to be approximately 3%. An overall slowdown in global market spending is resulting in softer demand for people-based services, particularly in our GFS segment. As noted in the quarter, we continued to adjust our variable cost structure in reaction to revenue softness to drive earnings growth in difficult market conditions. Our EPS guidance for the year will be below the low end of our previous guidance range due to the following. The suspension of the share repurchases since May related to our discussion activities with SunGard, and the carrying cost of the incremental $4.5 billion in debt issued in October 20 in anticipating – in anticipation of the SunGard transaction. We are looking forward to closing the SunGard deal and excited about the prospects it brings. That concludes our prepared remarks. Operator, you may now open the line for questions.
Operator: Thank you. Your first question comes from the line of Dave Koning. Please go ahead.
David J. Koning: Yeah. Hey, guys. And I guess, first of all...
Gary A. Norcross: Hi, Dave. ...yeah. Yeah. Thanks. I guess, first of all on the GFS segment. Was any of the weakness – it sounds like most of it it's in the people-based business. Was any of it due to any contracts getting pushed out anymore? I mean, is everything on pace now? And the secondly, into next year now, I mean, do you expect that to resume better growth as we kind of look into next year back to more normalized levels?
Gary A. Norcross: You know, Dave, we'll give you guidance next year after the fourth quarter call. But we continue to see softness, as you mentioned, in the people-based businesses. Our projects are back on track, the one we mentioned earlier. And so, in fact, I met with the team, with the board of that institution a couple of months ago, so things are going much better there. But we are seeing just our large global banks tighten down their spend on various Professional Services and various engagement. So while our consulting business is still growing, we're seeing some slowness in our consulting business in a couple areas and then even in our application, Professional Services business. But it's primarily geared in the global banks. IFS, you continue to see good strong growth there once you adjust it for the divestitures. Obviously that group has been impacted heavily through the acquisition consolidation, but the team's done a nice job of selling through that.
David J. Koning: Okay. And the Professional Service is a little lower margin anyway. So I mean, you hate to lose it, but at the same time, the mix shift probably helps margins a little bit?
James W. Woodall: That's true, Dave, I think the mix shift actually helps margin. You don't want to lose the revenue and the ultimate EBITDA contribution. Conversely though, you are able to proactively react on your variable costs as it is a people-based business. So to the extent you've got some softness, you can protect profitability.
David J. Koning: Okay. And then finally, you said reported revenue is flat. That did not include SunGard. I would imagine if you have SunGard in the last month of the year, maybe $250 million of revs or something like that I think in addition, right?
James W. Woodall: Yeah. I mean, it does not include anything associated with SunGard. We'll address that when we actually close the transaction. What it does include – not on the revenue side, but the EPS side, it does include the activities we have taken in anticipation of the SunGard transaction. Again, halting share repurchase since May and carrying the $4.5 billion of debt that we anticipate needing to close the transaction. But the revenue growth I outlined does not include anything associated with SunGard.
David J. Koning: Okay. Great. Thank you.
Gary A. Norcross: Thank you.
Operator: Your next question comes from the line of David Togut. Please go ahead.
David Togut: Thank you. Good morning, Woody and Gary.
Gary A. Norcross: Good morning, David.
James W. Woodall: Good morning, David.
David Togut: Gary, you mentioned that you're very excited about the progress on the SunGard transaction. Can you give us a progress update? Since you announced this a few months ago, specifically, you called out at that time $100 million target cost savings run rate by year-end 2016, $200 million by year-end 2017. Where do you stand on those targets based on an incremental three months of work on SunGard?
Gary A. Norcross: Yeah, David. It's a great question. As you would imagine, when you go through due diligence, you do a lot of your analysis on synergy takeouts from more of a top-down approach in due diligence. Since the signing, we've been able to get our teams together especially on a lot of corporate sides on the non-client-facing areas and really been doing a much more thorough bottoms-up. We've formed a dedicated integration team. There's been tremendous progress as the leaderships from both companies have come together and worked through the various integration strategies. And as you remember back when we did the large Metavante deal, it's all about, for us, hitting the ground running. So, for us, we feel very good about our guidance that we've given on cost takeout, line of sight of that. We got time frames to deployment. We feel comfortable on our $100 million commitment for next year. And certainly, we're in the process of implementing those plans and we continue to do more bottoms-up analysis. So, very early days. We haven't even closed yet. But I would say we're in extremely good shape at this point in the transaction with regards to how we're going to integrate the companies, what the synergy opportunities are and where they are, and then, we got to go execute on them.
David Togut: Do you intend to make any changes to the sales force? In other words, structurally, are there any changes required to generate significant cross-selling, or do you just leave the existing teams in place?
Gary A. Norcross: I think it's early on that phase. That's usually the last step that we go through because we need to get through our regulatory approvals and get the transaction closed. But right now, there will be no plans to make any changes. We think there are some opportunities outside the U.S. to leverage our go-to-market strategies and leadership with their go-to-market strategies and leadership. We don't want to have redundant country managers, for example. So, we want to make sure that we have direct line of sight to be able to call on those clients in a very cohesive way. But when we look at where the product solutions fall, what's very nice is how SunGard really breaks us into a lot of adjacent markets, and frankly, we're actually seeing product sales in some of those markets, SunGard's seeing, growing a little faster in some of the markets we're in. So, we think there is a real opportunity for the sales forces to come together on a complementary fashion, and we would expect to see some nice traction on that post-close.
David Togut: Understood. And just finally, you called out strength in product sales in GFS which is a reversal from what we saw earlier in the year. Can you provide a little more detail on what's driving that strength and to what extent it's sustainable into 4Q and beyond?
Gary A. Norcross: Yeah. This year has been a really interesting year for us with regards to product sales in our global markets. We've seen delays in deals, and, obviously, Woody talked about all the currency headwinds that I think are driving a lot of the impacts in the macroeconomic issues that are driving some of those decisions. But in Europe, for example, we saw a really good traction around our Clear2Pay solution this quarter. We also saw another new signing of a new challenger bank that we've talked about. So, that's exciting to get that on contract and moving forward. So, the team continues to do a nice job of selling against the challenger banks that are going on in the UK. In Asia, we saw great traction around not only core banking but also around payments as well with some expansion in some instances but many new instances, new logos coming on. Frankly, the growth to what we saw in Brazil was not product related. It was more of an easy comp. But we did see some traction around our cards process and transaction process in that country.
David Togut: Got it. Thank you very much.
Gary A. Norcross: Thank you, David.
Operator: Your next question comes from the line of George Mihalos. Please go ahead.
George Mihalos: Great. Thanks for taking my question. Maybe just sort of start off on a housekeeping item. Can you breakout what the inorganic growth was in the quarter? And then as we think about some of the weakness that you called out on the consulting side, that really seems to be I guess, looking at the charts you have here, focused on the large global banks. It seems like in Europe that business continues to do well. Is that the case?
James W. Woodall: The biggest component, George, on inorganic will be the delta in Europe from Clear2Pay primarily where we talk about 17% versus 5%. Reliance Trust, we've anniversaried. We picked that one up in the early third quarter last year, so we've really anniversaried that. You can see that in the delta in the Banking Solutions growth of 5% for the year versus 2% for the quarter. So, you really – the biggest component will be the Clear2Pay acquisition from an organic anniversarying standpoint.
George Mihalos: Okay. And then as it relates to the weakness that you're seeing in consulting, is that translating over in Europe as well or is it really more sort of the global U.S. banks here?
Gary A. Norcross: Yeah. We're seeing on the consulting side, our consulting group is still growing. It's just not growing as fast as it's traditionally been, so the team is doing a nice job. As you said, we continue to see strength in Europe. It's more in the large global institutions in North America where we're seeing some softening. But overall, our consulting business, just to be very clear, is still growing quite nicely, it's just not at the rate that it has been in the past.
James W. Woodall: That's right.
George Mihalos: Okay. Appreciate that color, Gary. And then just two quick follow-ons. You talked about consolidation in the banking space having an impact. Obviously, we've got the announcement of New York Community Bank and Astoria Financial coming together. Maybe if you can comment as to what that might mean for FIS. And then, sort of as a follow-on to that, are you seeing more of an opportunity for the NYCE network with PINless debit and the like going forward? Thank you.
Gary A. Norcross: Yeah. The New York Community Bank-Astoria deal, as you would imagine now in the U.S., it's hard to find a financial institution that's not a client of FIS at this point in time. So, we've got good relationships with both those institutions. It's still very early to know what that's going to mean for FIS. I'm sure we'll get heavily involved in the combination at some point in time. So, more to come on that as they work through their regulatory filings and come to closure. So, that's where that one falls.
Operator: Your next question comes...
Gary A. Norcross: Oh, and I'm sorry. You also asked about the NYCE opportunity. I didn't write that one down. NYCE opportunity, we do see good growth in NYCE. Is PINless debit playing a role in that? We would say there's some evidence of that occurring. But we continue to see good solid growth in our network.
Operator: Your next question comes from the line of Brett Huff. Please go ahead.
Brett Huff: Good morning, guys.
Gary A. Norcross: Morning, Brett.
Brett Huff: Two questions. One is can you give us an update – I think there were some large GFS outsourcing deals kind of rolling around in the pipeline. Can you give us an update on those and kind of where they are in terms of closing? And did any delays in those contribute to some of the revenue guidance changes that you announced today?
Gary A. Norcross: No. We continued to make good progress on a number of our – a number of the large transactions you mentioned Brett, but we wouldn't attribute that to the delays. Frankly it just continues to be more macroeconomic in nature. I would say in general we've seen deals push and some get pulled into the quarters, which is a little more erratic than obviously what we've seen in past years. But we're – it's really more in our short-term Professional Services engagement where people can reduce that spend very quickly due to an impact on their side for whatever reason where their tightening their belt. So we're seeing more of that occur, and that's really where we're seeing the softening.
Brett Huff: Okay. And then just a quick follow-up on that softening. You mentioned that mostly North American global banks are the source of that. Is there a specific general driver for some of these banks or is it company – or bank-by-bank specific that's kind of making these banks change their tune a little bit on the short-term projects?
Gary A. Norcross: Yeah. I wouldn't tell you that I would see anything that – I think it's more bank-by-bank. I think everybody's under differing expense control initiatives, and as they're evaluating long-term projects they're just coming in and out of those long-term projects based on what's going on in their particular bank.
Brett Huff: Great. That's what I needed. Thank you.
Operator: Your next question comes from the line of Darrin Peller. Please go ahead.
Darrin D. Peller: Thanks, guys. Look, I mean, overall looking at your broad metrics, it looks like your businesses generally did pretty well outside of this one area. And so I mean, this area seems like – if it's enough to drive a decline in your guidance by a couple of hundred basis point of growth, I think it's pretty – it will be helpful for us if you can sort of size it, right? I mean, in terms of – I understand you say 17% of your GFS is people-based services or whatnot, but more specific to what actually is the area that you're seeing having pressure, maybe it's the banks in North America or what, but if you can give us a little color on how big that specific part of it is, and if we should expect this to be a headwind for a while or not. And if not, I mean – or either way, just help us quantify what kind of impact this could be in the next few quarters.
James W. Woodall: Yeah. If you look GFS, Professional Services is about 30% of that number. So, for the quarter, that'd be around $100 million – about $200 million. If you look at that that seems to be where we're seeing most of the softness there. It's both in North America at the big banks, but also outside the U.S. in the big banks as well. So, if you look at that, we are seeing – that is the area where we're seeing the softness in the demand. We've seen it probably through the first quarter. You saw us take some cost action. You've seen some in the second quarter and much more really in the third quarter. So we do see that as sort of a global sluggishness from Professional Services consulting demand. And for the moment, we're seeing that carry into 2016 right now. We're not giving full 2016 guidance right now, but we're definitely seeing the global sluggishness in the economy impacting those demand drivers for people who buy services.
Darrin D. Peller: So what was the...
James W. Woodall: ...will have an impact.
Darrin D. Peller: Is there a way to quantify the actual growth rate of that 30%?
James W. Woodall: Yeah. I mean, I would tell you the growth rate around the 30% was more in the low-single digits this quarter, where we had seen that growing strong double digits for a while. So, definitely, it had an impact in terms of the overall growth rate, and we are seeing that flow into at least the fourth quarter outlook, driving the delta in the guidance around the constant currency revenue growth.
Darrin D. Peller: Yeah. And I kind of have to ask just because again it looks like the rest of your business is doing pretty well. So there's demand among some of these same clients, and there's also among some of your competitors in the IT services space for financial given some of the trends we see from Accenture and Cognizant and others. I guess I just wonder if this is a market share question or is it anything specific to your – a few specific clients or something on your services that need investing or what?
Gary A. Norcross: No Darrin, I don't think we're seeing anything that – as Woody mentioned in the prepared remarks, we continue to invest efficiently on our capital and invest in our businesses and products to help them grow. We have seen some combination impact, but I agree with you. The underlying businesses are running well. When you're dealing with short-term Professional Services businesses, you're going to see some headwinds that can come from time to time due to macroeconomic issues because that's typically one of the first things that our clients slow their spending on. We've seen this before in these businesses. As I said, it's highlighted a little bit because we've had some consolidation issues around acquisitions, and so we've had to grow through those. But we don't see any glaring issues in the product suite today. We continue to see our consulting business grow. It's just not growing as fast as it has in the past. And as Woody said, even our PS business is growing, but it's just not growing as fast as it has in the past, and therefore causing us a headwind. But to Woody's point, we do see it progressing into Q4, and it looks like it's going to progress into 2016.
Darrin D. Peller: Okay. And then, just on the margin side, I mean, you actually had pretty strong margins on the quarter, year-over-year expansion, and some of it is despite some of the lower trends on the revenue side. And so, just give us some color. I know you made some – you said you took some actions to keep the margin where you want it to be, and, therefore, your earnings ended up being more or less in line. In terms of sustainability to these new margin levels, is this something we can count on going forward?
James W. Woodall: Yeah. I think you've got some impact, again, from term fees in the quarter as we've been talking about a lot this year in terms of the lumpiness around that. We did see what we anticipated in term fees in the third quarter, which had some positive impact on the margin side. The cost actions themselves were probably another 50 basis points on top of the term fees. So, we will anticipate seeing some of that benefit flowing through as well as when we capture some of the synergy costs associate with SunGard, we'll see some net benefit on the margin profile. But at this level, we don't anticipate this level of increase on a recurring basis, Darrin.
Darrin D. Peller: Okay. All right. And then just as an update again, I know you mentioned SunGard, timing-wise, is still expected for the year-end. I know that's pretty transformational as well, right? There's nothing in that or in your current trends organically that should have any impact on your business and integration with SunGard, just to be clear?
James W. Woodall: No, we don't have anything there. Again, the delta would be just specific items we have had actions associated with to-date in anticipation of the transaction, but nothing beyond that.
Gary A. Norcross: Yeah. Both parties, as you would imagine, have been gearing up to align the companies, so that we can come together on an integrated fashion on the week of November 30 when we're closing.
Darrin D. Peller: Okay. Very good. Thanks, guys.
Gary A. Norcross: Thanks.
Operator: Your next question comes from the line of Tien-tsin Huang. Please go ahead.
Tien-tsin Huang: Great. Thanks. Good morning. Just want to stay with Darrin's lines of questions on Professional Services. Just to be clear, did you see a lot of projects this year simply wind down and sort of reach end of life and you're looking to replenish the pipeline? And has the demand sort of shifted from maybe security and compliance to some of your other areas of strength, and are they simply changing now, so you need to again replenish and build new solutions. Just curious what the plan of attack is there?
Gary A. Norcross: Yeah. I think it's a little bit of all the above, Tien-tsin. I mean, what we saw, we definitely saw a couple of projects wind down. In risk and security, we had a very large one last year that wound down. We've had another one that's ramped up, but there's been a lag period in that. We've also seen a fairly significant combination of two financial institutions, and then that ongoing Professional Services work has wound down because of that combination and they're going through their cost-cutting initiative. So, it's really a little bit of all of the above. We're also seeing strength, though, in replenishing those. We've seen, as I mentioned on the risk and security side, we had a very large one last year that ran through the course. We've now replenished it with one that's larger but it's in the process of ramping up over the next 12 months. And so, it's a little bit of all of it going on.
Tien-tsin Huang: Okay. No. That's good to know. So, just last one on this one, just the cost actions you're taking, is that just a compensation sort of play or a change in hiring plans or actually looking to reduce head count?
Gary A. Norcross: Well, as we look – you know, look, we build all of our plans to be shareholder-relevant, right? So we focus on shareholder value, and what we're realizing is the nice thing about our business is we do have cost levers that we can pull. So, as Woody pointed our earlier, as we see some softness in PS, we're going to reduce that head count down in alignment of it. We're also gearing up, as I mentioned just earlier to Darrin, we want to make sure that our two companies are aligned so that when we close on SunGard the week of November 30, right, we're able to put those together pretty cleanly as well. So, it's a combination of both. But what you've seen at FIS over the years is as we're monitoring what's going on in our revenue streams, as we're monitoring what's going on in our pipeline and closing, we're adjusting those cost levers to most effectively drive shareholder value.
Tien-tsin Huang: Yes. I'm sure that's the case. Just two more quick ones, if you don't mind. Just IFS, just want to clarify the pricing compression. How broad based, or is that comment more related to the consolidated clients?
Gary A. Norcross: I think we continue to see price compression in the market. We've talked about it for years. In some instances, I would say, it's accelerating a little bit. We're also seeing a lot of consolidation. But in the IFS market, it's a very competitive market. I think fundamentals of that business and the team executing that business continue to perform very well given those economic issues. But it's very competitive in that market.
James W. Woodall: Tien-tsin, just to add on that, I think we have seen some pretty heavy price compression from the monoline players coming in against the payments product set as they've competed against us on price heavily there.
Tien-tsin Huang: Great color. Last one if you don't mind, just thanks for taking my questions. Just MCX [Merchant Customer Exchange], any update there? I know the pilot is out, and they had some news with the Chase Pay and whatnot, so, any update? Thank you.
Gary A. Norcross: Well, it's still too early to say what that's going to mean for us. We were glad to see the announcement. We think it brings some traction to MCX. As you said, they've appeared to make good progress through the pilot. As we mentioned earlier, we're in our minimums period now. That started in October. And so, at this point, we're going to continue to monitor MCX and see what happens. But we do think the announcement, we were glad to see that MCX is back in the news. And hopefully it drives some significant transaction growth over the years.
Tien-tsin Huang: Thanks as always.
Gary A. Norcross: Thank you.
Operator: Your next question comes from the line of Ramsey El-Assal. Please go ahead.
Ramsey El-Assal: Hi, guys. A quick follow-up on Tien-tsin's question. So, just to be clear on the Chase Pay announcement, those transactions ride on a completely separate set of rails. They don't – they're not transported across your network in any way or do you play – you don't play a role on the back end there for the Chase Pay system?
Gary A. Norcross: Yeah. At this point, we don't know exactly how it's all going to work. But yeah, we're assuming that that's true.
James W. Woodall: To be specific, Ramsey, we don't anticipate Chase Pay right now based on preliminary information to be a significant tailwind for revenue.
Gary A. Norcross: Correct.
Ramsey El-Assal: Okay. I had a question about your non-U.S. exposure and how that changes and evolves with SunGard. Could you remind us of the total percentage of non-U.S. revenue pro forma for SunGard? And then also just provide a little color about whether your mix of currency exposures or markets, how that kind of changes. Is there incremental exposure in places like Latin America or Asia that could be better or worse for the macro kind of – when looking at your business in the context of macro headwinds?
James W. Woodall: I'll try to add some color. We spent a little a bit of time on that at the Announcement Day deck. And I think there are some slides that may be helpful. SunGard is about 36% of their revenue is outside the U.S. For us, for FIS, it's about 22%. Combined based on the scale of the two models it will be about 25% outside the U.S. In terms of where it is, they have a more significant presence in Europe, which is complementary to where we are from a size perspective. They have a small Latin America presence where we have a pretty large Latin America presence. And to be clear, that's probably one of the most significant macroeconomic headwinds that we've got, where currency for Brazil was down 17% since July since we announced previously. So, we've got pretty good exposure there for terms of revenue growth. They do have a significant presence in Asia Pacific, but it's blended across a number of different countries. So, hopefully, that will give you some color as to where it's at. Net-net, it should increase our international exposure around 4% to 5%.
Ramsey El-Assal: Okay. Great. That's very helpful. And just quickly and lastly from me. I saw the announcement with The Clearing House using your real-time payment system to provide a real-time capability that they can market effectively. Can you walk us through sort of the impact of that announcement? Do you anticipated that being – it seems like The Clearing House as a private ACH switch would touch a lot of banks and push a lot volume. Is that a business opportunity you think has some – will make an impact on your numbers going forward, or just a little color there would be appreciated.
Gary A. Norcross: Well, we're excited about The Clearing House relationship as we are with any sale. I think it's early to talk about the tailwind that it might provide on our revenue stream, but certainly, we're going to be working very closely with them to move real-time payments into their environment, and we'll bring more to bear on that as the project moves along.
Ramsey El-Assal: All right. Fair enough. Thanks a lot, guys.
Gary A. Norcross: All right. Thank you.
Operator: And your final question today comes from the line of Andrew Jeffrey. Please go ahead.
Andrew Jeffrey: Good morning. Thanks for taking the questions. Again, on the services side of your business, just trying to understand a little bit also whether or not some of the demand challenges you're seeing perhaps are more structural from a regulatory perspective as opposed to cyclical. And as a corollary, when you look at SunGard and some of the synergies you hope to get from (42:28), does that sort of alter your thinking at all from a strategic perspective?
Gary A. Norcross: Andrew, your second question came through very garbled on the second half of the question. I think your first part of the question was services related to macroeconomic trends, or more around regulatory influence I think was the first part of your question, which came through garbled -
Andrew Jeffrey: – right and as a follow-up, right, because to the extent there is a regulatory more structural component to challenges within the services demand, does that affect your thinking on SunGard at all, or maybe change the strategic go-to-market in any way.
Gary A. Norcross: Yeah. So, let me address the first. I think, obviously, we continue to see increased regulatory demand across the globe. And that's not only in large financial institutions, that's even in community and regional institutions. So, certainly, regulatory is the top-of-the-mind conversation in any engagement we have today. And we're obviously seeing that influence the demand across the board. Do I think regulatory is specifically related to some of the Professional Services slowness that we're seeing? I don't at this point in time. I think it's much more just macroeconomic an issue in I think some of our larger institutions. You see them announcing all the time big cost-cutting initiatives, et cetera. And I think they're looking for ways to do that. When you look at SunGard, I don't think it changes the way we think about our go-to market. SunGard is much more IP-centric, very much like traditionally FIS, but they don't have as large of a PS business as what we're seeing in the global. So, it's going to be complementary. So, it might dilute some of our Professional Services percentages in the aggregate, but we're going to be very focused on bringing world-class wholesale products to market. And so, combining that with our go-to-market sales force, we think the combination will be very beneficial.
Andrew Jeffrey: Okay. And with regard to a fourth quarter budget flush, there's lots of moving parts in your numbers. I know that's something that's historically been something to anticipate or think about. Is your guidance sort of suggesting that there isn't a technology spend flush at some of your bigger banks in the fourth quarter this year?
James W. Woodall: No. I don't think that's the case. I think the typical trend that we've seen in terms of fourth quarter will continue. However, the softness in the PS will mute that down, that coupled with currency are going to keep us at that sort of flat level. We will be below what we anticipated in terms of constant currency. But again, I think that's primarily PS related and not associated with capital budget spending, or ultimately flushing capital budgets. So the product business, the underlying business as you've kind of heard most of us, still continues to be relatively robust, or operating effectively. Just seeing some softness in the Professional Services side.
Andrew Jeffrey: Okay. Thanks.
Gary A. Norcross: Thank you for your questions today and for your continued interest in FIS. I'd like to summarize by saying that we believe in our business strategy. It's a long-term strategy that has consistently driven year-over-year performance results over the last several years. Our deep focus in investment and financial services is allowing us to lead change in the industry. We offer the solutions and services that are making our clients' businesses run efficiently while at the same time providing them the opportunity to grow and differentiate themselves in an ever more competitive and strenuous regulatory environment. I'd like to thank our clients for their loyalty and the more than 42,000 employees around the world who are committed to serving and empowering those clients each and every day. And I look forward to welcoming the employees of SunGard to our combined companies in a few weeks. Thank you for joining us today.
Operator: Ladies and gentlemen, this conference will be available for replay after 10:30 Eastern Time today through November 17. You may access the AT&T teleconference replay system at any time by dialing 1-800-475-6701 and entering the access code 370736. International participants dial 320-365-3844. Those numbers once again are 1-800-475-6701 or 320-365-3844 with the access code 370736. That does conclude your conference for today. Thank you for your participation and for using AT&T Executive Teleconference. You may now disconnect.